Sergio Gámez Martínez - Banco Santander: Good morning, everyone. Thanks for joining Q3 Earnings Presentation. As every quarter the group CEO will address the group key topics and our messages and after that the CFO will address our, on a business by business unit, the details P&L, balance sheet wise, and the main commercial and financial trends as well. Obviously, we'll have plenty of time for your live questions. And the IR team will be at your disposal in case of any follow-up afterwards. So, with no further delay, José Antonio, the stage is yours. Thank you.
José Antonio Álvarez Álvarez - Banco Santander SA: Thank you, Sergio, and good morning to everyone, and welcome to this presentation of the third quarter results. As usual, we have in the presentation, three parts. The first one, I'm going to elaborate about the group figures. Afterwards, José, our CFO, – José Garcia Cantera, our CFO will go through the main areas of the group, the main subsidiaries. And finally, I will make a very short sum-up of the – how we're progressing in relation with our targets that we confirmed to you or established to you in the recent Global Strategy Update in New York. Starting with the figures for the nine month, the first nine month of the year, what we have is the profit generation which progressed in a solid way, I will say. The attributable profit for the group was slightly above €5 billion, to growing up 10% with an underlying profit of €5.6 billion that after the charges we took in the quarter, we took in this quarter, all the restructuring charges that we expect for the whole year. The underlying profit grew 14% in constant euros comparing with the same period in 2016. This allow us – the quarter was good in capital generation. Organic capital generation was pretty strong, 16 basis points in the quarter. I will elaborate later on this. The return on tangible equity profitability keeps growing. We are approaching the 12%. And as a result of this, the EPS is growing at 6%, taking into account the number of new shares we issued to buy Popular. And finally, tangible net asset value per share is progressing as well, relatively well. At the end, these numbers is the result of what I qualify as a good progress in our commercial transformation that probably is reflected in the number of clients. You know that at the core of our strategy is to increase the number of loyal customers, at the same time progressing in our digital transformation. Those numbers reflect exactly this. We are progressing well in the number of loyal customers, growing double digit, both in individuals and companies and the digital customers grew more than 1 million in this quarter. So, we are progressing well towards our targets. And this has a translation into the P&L where the NII, the net interest income is growing at 7%. The income growing at 10%. That probably is the best – the number that reflect the best the progress in the loyal customers. While in the figures in the balance sheet we're growing well in customers funds, not so much in the loan book. This is also affected by a more capital lighter model in the GCB business, where the loan book is falling, and this is something that we are looking for to have a lighter capital model, business model in GCB. Finally credit quality, significant progress. This number – the number went down 64 basis points this quarter. This reflect the disposal of the real estate related activities into Spain to Blackstone that we agree two month ago. The cost of credit keeps falling, and is already in line with our targets has been in the previous quarters. We don't see any concern at this point of time. Let me just explain the restructuring charge in the quarter, (00:04:30) in the quarter. Some of them probably were already announced at the time of acquisition of Popular, led me to remember the numbers. We said integration costs in Spain, they're going to be – they're in the region of €1.3 billion. This was a figure before taxes, all right? And this €300 million is after taxes. So what you should expect is a charge of €300 million per year, 2017, 2018, and 2019, in relation with the integration into Spain. That is a number after taxes that is exactly €1.3 billion that we announced to you before taxes. So this is – we are about to start the integration into Spain, different quarters, and is the reason that we took this charge in this quarter. In Germany, we are following on – probably less well known by you – we had two branch networks; one, the traditional account coming from the consumer bank, the other one coming from the retail bank, and we're integrating both. The result is a net reduction of around 100 branches, and we took the charge of €85 million in the quarter. The other equity stakes and intangible assets is a mix of non-listed stakes – stakes in non-listed companies. Each of them is very small, but we took this charge in this quarter along with some intangible asset related with some (00:05:55) that we released in the quarter. As a result of these charges, you have on the right side both the third quarter profit, pre-underlying profit and after restructuring charge, and the three quarters' profit. In both cases, we are growing, I will say, in a consistent way in both case. Going to the P&L, it's a little bit complex, sorry for that, in this quarter. So, you have the first column is the total group. Second is Popular, the idea is to have Popular stand alone. The third column is the group without Popular, and the fourth and the fifth is the comparisons with the previous year in constant and current euros without Popular. But you have, basically, to sum up what is going on, strong growth revenue, the non-recurring items, NII and fees growing both in constant and current euros. What is different in this quarter? This quarter, the euro appreciated against the other currencies, like 4%, 5%, and the previous quarters was the opposite. Overall, in the year, is 1%. That is what you see in the difference between the numbers. So as a result of this consistent growth in NII and fees, and basically flat capital gains or results of funds and operations, we have the revenue growing at 9% in current euros. Operating income in double-digit. Loan loss provisions, as I mentioned before, credit quality, the scenario remains quite benign. Even in some countries, the environment, the macro environment, probably José will elaborate later on on this. It's improving, so this is reflected in the loan loss provisions that are falling. And finally, maybe surprise you, some increase in the corporate tax. This is due to Brazil, where we have a – results in Brazil are growing at a very nice rate, as a result, and we've had very high corporate tax rate in Brazil as a result of this translating to the group corporate tax rate. Finally, you have non-recurrent items that I mentioned to you and I explained to you to go to the bottom line, in which we continue to grow according to our expectations. Looking at the countries, you see us, as we highlight here, solid profit growth across the board. The majority of the units are growing double-digit or around double-digit. There is two exceptions. Poland is due to, if you look at the numbers in Poland, is due to the increase of the charges in deposit guarantee fund. But if you look at the numbers, we are progressing very well in Poland. And the U.S.A., the bank is progressing very well. What we have in the quarter is two charges, one related with the sale of Island Finance business in Puerto Rico. That is a charge of €30 million that we saw back in June. And the second one is related with the hurricane in Texas that affected SCUSA, in the sense that we charged €50 million for losses on uninsured cars, in the cars which we were funding. So, overall, good developments across the board, with good performance in across all the units. Analyzing the P&L, what you have – I referred before, revenues growing very well. The net interest income going up 7% is more due to the spread management done to volumes, as you probably will see in the numbers. You have the fee income very much related with our study of building loyalty among our customers. And the other income is relatively flat compared with the previous year. So, the progress quarter-on-quarter is probably the thing that I like the most. It's fairly consistent, and the reason that we remain optimistic that we're going to keep building in the line we'll be building in the last couple of quarters. Going into the balance sheet, loan book grew only 1% year-on-year. I mentioned already the – we have the retail growing at 3%, 4%, 5%, and we have the – grow our corporate banking falling 5% in the loan book. So, we have here what basically I told you in New York. Basically, we have growth in emerging markets. There's still significant leverage going on in mature markets, on top of our policy initially. Now you have mature markets, Spain, UK and U.S. loan book is not going to win in all markets this quarter. We've seen an acceleration, particularly in emerging markets, in Brazil, Mexico. Also in Poland, we see significant acceleration this quarter compared with the previous quarters. In customer funds, we continue to make significant progress. I'm particularly proud of growing the demand deposits in double-digit, and mutual funds are growing at 12%. So demand deposits are 10%, mutual funds growing at 12%, and we are showing significant progress there all across the board. So – sorry, doesn't work. Okay. Going to the cost side, what we reflect here undertakes, reflects basically where do we have positive jobs. We have different policies according to the situation of our subsidiaries in the market. We have in some subsidiaries where we are investing a lot, particularly in Mexico, in which we are upgrading the operational side of the business. We are also making significant investments in Brazil. Argentina is more a question of the inflation that is falling more rapidly and the number probably doesn't reflect what is going on on the ground. And we have at the same time costs falling in real terms, in all the mature markets. We accommodate our cost policy to depreciateness in every market under the (00:12:17) in every market. What is important, we are reducing almost 200 basis points, the cost income overall in the group. So, going to the credit quality. I mentioned already that the scenario remains relatively benign. The ratios improved this quarter as a result of the operation that I mentioned already of the disposal real estate in Spain. You have the data from Banco Popular at the bottom. NPL starting the biggest quarter. If I remember well, we're around 20%, fell to 11%. Recovery ratio also fall and now is 47%. At the group level, what you have, the two numbers with our – and with Popular, as without Popular there's a consistent downward trend in the NPLs and with Popular, we have this operation that I already mentioned in the quarter. It'll have going forward for the future, 4% in particularly concern in relation with the credit quality, with a macro scenario that is quite supportive in terms of credit quality. Just to update you in the numbers of the real estate exposure in Spain, once we agreed to sell the exposure of Banco Popular, you have here the gross of the numbers. The gross number in the biggest quarter rewarding €41.1 billion. We disposed almost €29 billion. Now the gross exposure is €12 billion and the net exposure is €5.9 billion. We think that we are 18 month from now to finish with this and to be non-material. So, I'm relatively optimistic about getting this number non-material at the end of next year. Capital, I mentioned that the quarter was good. Organic generation was 16 basis points. With the markets and other, particularly AFS, came a little bit down and the restructuring charge that we made in the quarter cost 6 basis points. So we are progressing very well towards our goal of reaching, being above 11% in 2018. We are showing a progress of 25 basis points in the three quarters of the year and we keep progressing well. On the right side, just to mention that we already build the majority of the target of the €81 million. Also, we've been pretty active in issuing TLAC eligible instruments and as a result of this, you have on one side, the total capital ratio is already 14.4% and the Tier 1 is north of 12%. So, finally you have the ratios. The RoRWA progressing well. The return on tangible equity, we are approaching an underlying basis of 12%. EPS keep growing and tangible net asset value per share also that we have – you know that there is some volatility here related with FX. In the quarter, we continued to make good progress. And now, I give the floor to José to elaborate about the business areas and finally, I will make some remarks at the end.
José Antonio Garcia Cantera - Banco Santander SA: Thank you, José Antonio. Good morning, everyone. Like always, I will start by showing the breakdown between emerging markets, the developed markets, Europe and the Americas in our business, which roughly is 50/50. It remains pretty similar to previous quarters. We have added Popular, but emerging markets are growing a bit faster than developed economies. So, roughly, we continue to keep the diversification very much intact. Before I go into the details of the major units, just a general comment. You will see a widespread improvement in the number of customers, asset quality, efficiency and profitability. In Brazil, we have another excellent quarter. Our strategy to gain new customers and to deepen the relationships with these customers is yielding very positive results. We're gaining market share in loans and deposits. In the margins, as you know, we are positioned to lower rates in Brazil, so we are benefiting from the drop in interest rates. But we are also managing much better the cost of funding as we substitute wholesale funding deposits by customer deposits. Fee income also growing very well, particularly in our credit card acquiring business. A slight increase in costs basically associated to two factors: one is an increase in the activity that we've seen in the bank; and second, because of higher incentives in the retail network that is doing a great job. Cost of credit is the lowest that we've seen in six quarters. So, overall, very good quarter. But more importantly, the quality of the results is improving in this quarter. 92% of profits come from customer-related activities. In the UK, relatively good economic performance. We saw figures yesterday that continue to show that the UK economy is resilient. We've managed our cost of funding, which explains the improvement in net interest income. Doing very well in fee income, particularly in retail banking and asset management. Cost fairly flat year-on-year. We are able to invest in digital transformation and pay for the banking reform without increasing our cost base and cost of risk is almost zero. When we look at year-on-year and quarter-on-quarter changes, we have to take into account of the one-offs that we mentioned were included in the second quarter, the sale of (00:18:23) and the reversal of taxes that came in the net interest income line in the second quarter. Santander Consumer Finance. We continue to be leaders in this business in Europe. New production associated with new car sale. Financing is up 11% in a market that is growing new car sales at approximately 4%. That explains net interest income performance. We're doing a bit better than that because of our new businesses in durables and particularly, in direct lending. Operating expenses, very much under control. Good asset quality. Provisions are up quarter-on-quarter because you remember there were some reversal of provisions in the second quarter associated with a portfolio sale. So net, very good underlying performance in this quarter. As José Antonio mentioned, we have the charge for the integration of our branch networks in Germany. In Spain, the 1l2l3 account continues to bring in new clients, with which we are developing deeper and longer relationships. Retail customers are up 36% year-on-year. Companies are up 12%. And as an example of how we are developing more profound relationship with our customers, credit cards turnover is up 46% year-on-year. When we look at the P&L, very strong performance in fee income both in retail and in GCB as a quality improvement despite some one-offs. And in terms of activity, although this is not seen in the numbers, we are growing SMEs year-on-year, for instance, €1.1 billion. The stock of SME lending is up €1.1 billion. This is not seen because still the launch to public sector companies and entities is down and obviously we're improving asset quality. So, net loan growth is not picking up but when we look at retail, when we look at companies, clearly we're starting to see much better performance. In terms of quarter-on-quarter comparison, take into account the charges – the contribution to the Single Resolution Fund in the second quarter. Looking at Popular, in the quarter, we completed, you all know, the capital increase, the €7 billion capital increase. We launched the commercial action for those customers of the bank that participated in the capital increase, and those that bought subordinated. That, we also reached the agreement with Blackstone to sell 51% of the real estate assets and credits of Banco Popular. In terms of the integration, we have started to take the first measures. We have rebranded the Popular branches with an underline saying Group Santander. And from a business perspective, we have recaptured more than €10 billion of deposits. In terms of loans, it's taking us a bit longer, but you remember we already expected that when we made the acquisition. So, clearly, the bank is, in terms of activity, very much back to normal today. When looking at the other subsidiaries, Mexico very good performance at the bottom line, in this case driven by very, very strong performance in the top line. The 1l2l3 strategy in Mexico is called Santander Plus is bringing in new customers, improving the cost of funding, so the top line in Mexico is doing very, very well. As you know, Mexico is a country where we are investing for the future. So, in terms of cost income, cost evolution you have to frame that with that in mind. So overall, very good quality results, particularly driven, as I said, by the top line. In Chile, the results are driven more by an improvement in asset quality. We have lower activity, the economy's slowing down, lower inflation. That's affecting our revenues a little bit but we are managing costs and particularly asset quality extremely well which explains the year-on-year growth in profits at 12%. In the U.S., we excluded the two charges that José Antonio mentioned: hurricanes and Island Finance. The bank would have shown positive year-on-year growth in profits. The bank is doing very well. We are improving the margins quite quickly. Currently actually the cost of funding that we have in our bank in the U.S. is similar to the average of our competitors. In Santander Consumer, we are stabilizing the bank focusing on the loan mix and reduced cost of funding and costs, both at the bank and at Santander Consumer. In Portugal, we've concluded the integration of Banif which has been done very, very, very well. We are gaining market share. We are the most profitable bank in Portugal because of the integration of Popular – of Banif, we already have very good asset quality and asset quality indicators, which again explain the very good performance of the bank growing 15% in profits. In Argentina, we have great expectations for Argentina in the next few years. Loans to deposits, as you know, is at 14% right now and as the economy stabilizes, we should see a significant recovery in banking activities in the country. In the meantime, we've seen a 17% growth in profits which is affected by the cost associated with the Citibank integration. On Poland, José Antonio already mentioned, very strong performance all across affected by the higher taxes and the higher contribution to the deposit guarantee fund. But when we look at net interest income fees, costs, provisions, et cetera, Poland is doing very, very well indeed. Let me finish with the Corporate Centre, and here two messages; on the one hand, we have a slightly higher cost of hedging the currency exposures that we have, but obviously it's a negative charge here, which is compensated by the better performance of our FX exposure in the countries. And as José Antonio also mentioned, we've followed our plan to issue TLAC-compliant instruments, in terms of Tier 1s and Tier 2s and that has increased our financial cost at the Corporate Centre a little bit in the quarter. These two items is what explain the increase in losses at quarter at the Corporate Centre. And with this, I'd like to turn it back to José Antonio for his concluding remarks. Thanks very much.
José Antonio Álvarez Álvarez - Banco Santander SA: I'm not going to take more than a minute to you and we'll go straight to the Q&A. It's just more than to remember the numbers that we gave you in the strategy update that we have had only two weeks ago. The overall picture of the bank, I will say, is good and the macro is definitively helping in the emerging markets and we're heading towards little by little slightly higher rates probably in mature markets already in the States, probably relatively soon in UK and maybe depending on what is bid/ask in Europe in the coming future. So, this is an environment that we can work in a constitute way and continue to deliver good results in this environment. You have here the figures. We confirm to you the targets. We increase the target for return on intangible equity in the coming years and this allow me to be relatively optimistic about the outlook of the group for the coming quarters. And now, without any delay, we go straight to the Q&A. Thank you.
Sergio Gámez Martínez - Banco Santander: So, please, operator, we can kick off this Q&A session.
Operator: Thank you very much. Ladies and gentlemen, the Q&A session starts now. The first question comes from Jose Abad from Goldman Sachs. Please go ahead, sir.
Jose Abad - Goldman Sachs International: Yeah. Hello. Good morning. I guess the first question, and I'm sure for this I think relates to Q4 and probably beyond. And if you could comment about how the Catalonia related pensions are actually impacting your business or the way you see your business evolving before year-end, so in Q4 and also into 2018 in the form of potential actual deposit inflows or inflows in your asset manager. The second question relates to the UK. Given that we are getting ourselves into a new rate hike cycle in the UK, could you please remind us about your rate sensitivity in the UK? Thank you very much. Bye-bye.
José Antonio Álvarez Álvarez - Banco Santander SA: Okay. In relation with the question, in relation with the political situation in Spain, particularly in Catalonia. Well, probably this is too early to call. Yeah. So, what is for sure is the longer it takes to settle the situation, the higher the impacting in the overall economic activity. And being that the case, probably then will affect also our activity. It's probably too early to talk about changes in the forecast. The government produced some figures. So 30 basis points lower growth next year. There are independent analysts who think higher figure on this. Probably it's too early to say. Definitively, is not good and the longer it takes, probably the worse for the outlook for the business, not only in Catalonia, where our exposure, as you know, is relatively low. It's more to Spain, what the potential impact in overall Spain that may affect us more. In relation with the rates, José, do you want to elaborate in the UK?
José Antonio Garcia Cantera - Banco Santander SA: Yeah. A 100 basis point increase, but this is a 100 basis point increase in – parallel upwards in the entire interest rate curve would bring in approximately £500 million of higher revenues.
Sergio Gámez Martínez - Banco Santander: Thanks, Jose Abad. Next question please.
Operator: Thank you. The next question comes from Carlos Cobo from Société Générale. Please go ahead, sir.
Carlos Cobo Catena - Société Générale SA (Spain): Hello. Thank you very much for the presentation. One quick question on MREL and something you explained in the strategy today. You said that MREL will be a higher requirement in terms of the proportion of risk-weighted assets, but the eligible funding or instruments will also be higher. Did you imply that the senior debt will be eligible for MREL? Is this your view, or guidance from regulators when you compare MREL with TLAC requirements? Thank you. And secondly, quickly, on Poland, we've seen a couple of big players in the market exploring consolidation. Clearly, as you said, the impact on the banking costs were higher. What's your view in Poland from a strategic perspective? Are you interested to consolidate all the competitors, or even to explore a disposal in this integrating market? Thank you.
José Antonio Garcia Cantera - Banco Santander SA: In terms of MREL versus TLAC, the calculation of the requirements is different, and also the base on which to calculate the requirements is different. However, we don't have the final requirements in MREL. So we are just reacting to what has been mentioned in the markets and the different working papers that are being discussed in Europe. In these papers, we see a higher risk-weighted asset requirement than in TLAC, but also higher MREL liabilities. Part of that, higher liabilities, is senior debt, like you said, but it's also the wording of the debt instruments that are eligible, that also makes the difference. So it's a combination of type of instrument, but more importantly it's the wording of subordination of those instruments that is different in the two MREL and TLAC requirements.
José Antonio Álvarez Álvarez - Banco Santander SA: Question in relation with Poland. First, Poland is for us one of our 10 core markets. Being that the case, the general policy applies to Poland in relation with consolidation. So, if we find opportunities at the right price that provide the right return for our shareholders with the rules that we established at (00:32:18) we will we look at it. On top of that, we said, myself and José, we said that we are pleased how the business is developing in the ground is through that. The taxation has been increased year after year in Poland, and we haven't been able to translate these good developments in the bank. The bank is progressing very well. It's very well advanced in the utilization, is managing the cost in an extremely effective way. So from the business type point of view, we are extremely pleased. It's through that restrictions from the regulatory side and supervisory side have reused the visibility at the bottom of the P&L. But we remain committed with Poland, and we expect good news going forward coming from Poland.
Sergio Gámez Martínez - Banco Santander: Thanks, Carlos. Next question, please.
Operator: Thank you. The next question comes from Alvaro Serrano from Morgan Stanley. Please go ahead, sir.
Alvaro Serrano - Morgan Stanley & Co. International Plc: Hi. Got two questions, one on Brazil and one on Banco Popular. On Brazil, obviously the NII is up very nicely in the quarter. I just wanted to understand if you can give us a bit more color – obviously, benefited from the reduction of rates, we had another 75 basis points cut. Is – going into next year, I realize you've guided for double-digit profit growth at the Analyst Day for next year. But margins, strictly margin-wise, if you look at the NII, are we going to see at some point, when rates stop going down, the NII actually fall sequentially? Are you going to be able to grow – if you can give us a sense of what kind of growth we could expect in 2018, and what are the offsets on loan growth versus potential margin tieration? And then on Popular, if I look at the Q3 standalone, as we model next year with the disposal of the Blackstone portfolio, how do you think that will affect – if you can give us at least some broad thoughts, how do you think that will affect the NII, the lower funding costs, because you've got the real estate now deconsolidated? And if there's going to be any significant deconsolidation of costs that will go to the vehicle, to the Blackstone vehicles? Thank you.
José Antonio Álvarez Álvarez - Banco Santander SA: Okay. First question, Brazil NII, color going forward, what's going on there? So, well, what we had in the quarter, probably the main change compared with the previous quarter is we saw higher growth, particularly on the consumer side. It's true that is quite specific probably from Santander, because we are gaining significant market share in several key markets, in key settlements in Brazil particularly we are gaining market share in acquiring business, we are gaining significant market share in payroll-based lending, what they call consignado. We are also gaining share in auto lending, and that's where the growth comes from. When you look at the other side, the corporate and GCB business, we are not growing on – I mean, in the asset side. On the loan book, we are not growing. In fact, I think we're flat or slightly down in the quarter. So, what we are seeing is a good developments on the more individual-related business, as still the corporates and global corporate banking is not growing. You mentioned the reduction in costs. It's true that we have some ALCO portfolio there, that with the reduction on rates, we are getting higher NII coming from this. But the main impact comes from the volume growth on the lending side, particularly in relation with consumer finance and auto lending and payroll-based lending as I said before. Going forward, well, this year, Brazil may grow around 0.5%, 0.7%. Next year, forecasts are getting better and better. Probably, we may expect some, probably growth between 2% and 3% in the country. This should allow us to grow faster the loan book, probably with lower rates. I will say, the NII coming from the ALM portfolio will be, compared with this year, probably pretty flattish, yeah, so because the portfolio stays there. And probably, the game in the future is about, in Brazil, if my view about the country is right, it's probably a game between significant growth in volumes. The leverage is still relatively low with some margin pressure. As you know, the spreads are relatively high in some segments, some margin pressure coming from this side. The fee income, that, as you saw, grew relatively well and probably, we won't be able to give the 20%, yeah. So, the 20% we're showing this year is difficult in any case, but I am relatively optimistic about to show significant growth in the fee income going forward due to the volume – the business is growing all across the board. And the franchise, I've been telling you, I don't know how many quarters, the franchise is now in a better position to compete head-to-head with our main competitors, Itaú and Bradesco, yeah. Banco Popular model for next year, well, what is going to – the effect of the disposal. Well, since the day we bought Banco Popular, several changes, restructural change had happened in the balance sheet. The first one is we increased the deposits by €10 billion. We'll inject €7 billion capital. And we're going to dispose around €10 billion of assets. So that means altogether that we're going inject to the bank €30 billion cash. So, €10 billion higher deposits, €7 billion capital and €10 billion from the disposal of the real estate related assets. In these days, to have such a big amount of cash, such a big assess liquidity probably is not good news from the NII point of view. But on top of that, this is a fact that will structurally affect the balance sheet. What is important from the real estate deal, you have this effect. On the other side you have an effect of reducing – increasing the capital ratio, reducing the risk-weighted assets. And you have an effect on cost that we still are still work in progress because we are finalizing with our partner in the real estate, how many means, meaning people and operational people to manage all the real estate assets is going to leave Popular perimeter, let's say, to go to a new company. Sorry, I cannot give you a specific figure for this but some figure is going to happen there. And more important than this figure that is not going to be very relevant in terms of cost is going to be the other costs. Meaning, the maintenance cost, the taxes related with all the repossessed assets that were there and this should be a significant figure.
Sergio Gámez Martínez - Banco Santander: Thanks, Alvaro. Next question please.
Operator: Thank you. The next question comes from Sofie Peterzens from JPMorgan. Please go ahead.
Sofie Peterzens - JPMorgan Securities Plc: Yeah. Hi. Yeah. Here is Sofie Peterzens from JPMorgan. Just going back to Brazil, I was wondering, your asset quality is improving there and coverage on NPLs is pretty strong just under 100%. How should we think about cost of risk going forward? It has now come down to 450 basis points. Where do you see it going in the next 12 to 24 months? And then my second question is also around asset quality. There was a paper out by the ECB a few weeks ago from the beginning of next year, all the unsecured NPL should be fully provisioned within two years and secured NPLs within seven years. How do you think about this and what impact should we expect if any on Santander? And then if you could just give a quick comment on mix figure, what the outlook is, how do you think about growth and cost of risk going forward. Thank you.
José Antonio Álvarez Álvarez - Banco Santander SA: So, first question, cost of credit in Brazil. Well, as I said, the macro outlook is improving. We expect a significant or a substantial reduction in the cost of risk, particularly in the corporate and global corporate banking business in Brazil. On the other side, the mix is shifting from corporate and ECB towards more consumer-oriented kind of businesses. So overall, although the environment we expect from the (00:41:44) is benign, probably you can expect a slight reduction. On a like-for-like, you're going to see a reduction. Overall, you're going to see a slight reduction because the mix, if I am right, the mix – the consumer side, is going to continue to be strong. And I don't see that evolution on the corporate side. So, probably, we're going to see a slight reduction but not as big as the one you may expect due to the better economic condition, due to the fact that the mix is going to shift a little bit or is going to continue to shift towards more consumer kind of business. The ECB, non-impact. All these, as far as I know – I don't know, you have something to add, but I think is no impact to us at all. And finally, growth in Mexico. Well, as you know, the significant uncertainty, the discussions going on about NAFTA and this is the main uncertainty in Mexico. Also, Mexico face elections next year. But more than – beyond the macro conditions in the country, I remain optimistic in Mexico. As you know, we're investing significantly in the country. You saw in the numbers. You saw in the cost. And we are improving, or we are trying to improve, in a significant way, the quality of the franchise. In the last quarter, as a matter of fact, Mexico grew quite fast. And I expect to continue to show significant growth although the macro conditions remain more uncertain than they were couple of quarters ago.
Sergio Gámez Martínez - Banco Santander: Thank you, Sofie. Next question please.
Operator: Thank you. The next question comes from Francisco Riquel from Alantra Equities. The floor is yours, sir.
Francisco Riquel - Alantra Equities Sociedad de Valores SA: Yes. Hello. Thank you. Wanted to ask about NII in Spain, if you can comment if you have made any changes in the loan portfolio during the quarter, and an update on the ALCO portfolio. When do you expect the loan deleverage to end? And if you can give any guidance on margins in Spain, what shall we expect before interest rates start to rise? Also, on the UK, NII excluding the one-off in the second quarter has gone up in the third quarter and it was expecting a decline, the SVR attrition, et cetera. So, if you can comment also margin dynamics in the UK before interest rates rise there. And sorry, just last technical question. In Corporate Centre almost no tax shield, if there is anything extraordinary here, thank you, on the tax rate in the Corporate Centre.
José Antonio Álvarez Álvarez - Banco Santander SA: Okay. NII in Spain, I will elaborate on the commercial side. I will pass to José to elaborate on the ALCO portfolio. Well, overall, in Spain what we have is a pretty stable situation, yeah. So, after many quarters of margin compression on the front book, we got to a point in which – well, we are not seeing margin compression in the front book. What we continue to see naturally is the Euribor, one year Euribor getting lower and lower, and this affect the repricing of the portfolio. But in the new activity, we are not seeing a significant – we are not seeing a more margin compression. Do you want to elaborate on the portfolio?
José Antonio Garcia Cantera - Banco Santander SA: No, no. There were no changes in the ALCO portfolio in the quarter.
José Antonio Álvarez Álvarez - Banco Santander SA: Some in Popular.
José Antonio Garcia Cantera - Banco Santander SA: Yeah. Not in Santander. Not significant changes. We remain with a €26 billion, €27 billion portfolio with an average yield of around 1.7%. We sold some bonds, some Italian bonds that Popular had in its portfolio in the quarter. But other than that, there were not any significant changes that would affect net interest income in the future.
José Antonio Álvarez Álvarez - Banco Santander SA: The second question, Paco, was about NII UK. Well, you mentioned the key points as we are. Attrition continues to be at the pace we were expecting. The front book was quite constructive in the quarter. It's not that much now. As a result of the changes in the yield curve in the UK due to the new expectations of increasing rates. What has happened and we haven't repriced the front book, so you compare the new rates with the new yield curve, you have lower spread then, but this for the new applications that will come to the book eventually in January, February next year. There is a three-month delay. We expect probably some increased competition, particularly in the mortgage sector. On the others, we are not seeing any change. We are progressing relatively well or very well in the commercial side of the business, in SMEs and we are progressing very well in GCB. So, those business are gathering momentum. Well, are still small but every quarter represents more in our P&L. The interest rates we elaborate already in the impacting in this. There are no tax in the Corporate Centre. Basically we are being conservative and not taking tax rate on the Corporate Centre.
Sergio Gámez Martínez - Banco Santander: Thanks, Paco. Next question please.
Operator: Thank you. The next question comes from Ignacio Cerezo from UBS. The floor is yours, sir.
Ignacio Cerezo - UBS Ltd.: Ah, yeah. Hi. Good morning. Couple of questions on around Popular if you want. First one is if you can share with us in terms of the composition of the P&L versus the main announcement you made back in June, without broadly changing your (00:47:49) for your targets actually on the bank. But how was the P&L changing your mind in terms of, again, target versus the ones you announced back in June? And then around the Blackstone joint venture, if you can share with us actually a bit of a roadmap in terms of how quickly that company going to start hedging rating profits or if we're going to go into a situation where in the beginning, actually, it can be a lot making unit actually for you. Thank you.
José Antonio Álvarez Álvarez - Banco Santander SA: Okay, the question about – so probably it's too early to have a – naturally, so a potential business plan for the joint venture we're going to have with Blackstone that we plan to incorporate in January, February next year. But probably is not in a stage of elaboration that we are in a position to share with you. And as you know, we're not going to match this company. But naturally, you can play with the numbers that a private equity normally does in these kind of deals. You are very familiar with these kind of numbers and apply to us the 49% and you have a proxy about the expectations. I don't have, at this stage, a number to share with you because it's responsibility of Blackstone to come with a business plan for this company. But naturally, we expect some profits coming from this. This is not going change, now, our outlook for the next three years for Banco Popular or Banco Popular-related business if you include the joint venture with the Blackstone.
Sergio Gámez Martínez - Banco Santander: Thanks Ignacio. Next question, please.
Operator: Thank you very much. The next question comes from Benjie Creelan-Sandford from Jefferies. Go ahead, please, sir.
Benjie Creelan-Sandford - Jefferies International Ltd.: Yeah. Morning, everyone. First of all, maybe just to go back to Popular again. I mean, if we look at the underlying result in the quarter, it is already running quite far ahead of the 2018 target profit level that you gave in June. So, just wondering whether you had any further comments around your expectations there or what's surprising positively in the results to date? And then, a couple of quick questions around asset quality. If we look at the UK, the NPL ratio ticked up quarter-on-quarter very slightly, but I was just wondering whether you were seeing any meaningful change of trend there. And also, if we look at the consumer division in Continental Europe, there was an increase in loan-loss charge this quarter. I mean, again, that's still at very low levels, but I was just wondering whether you expect that to continue to tick up going forward or whether or not it's just a one-off in the quarter. Thank you.
José Antonio Álvarez Álvarez - Banco Santander SA: Popular, we are not changing. As I said before, we are not changing our expectations for Popular and we confirm to you the numbers we gave to you after the acquisition. NPLs in UK was nothing new, wasn't a specific case coming from GCB. That is the main difference in the quarter. Nothing has changed in the main portfolios. And in relation with consumer finances through where you say the charges in the quarter were higher, but it is worth view that in second quarter we dispose. And probably we mentioned to you some nonperforming portfolios, and this makes the difference. We are not seeing, as of today, any change. The scenario, as I mentioned in, overall for the group, and specifically for consumer and finance, continue to be quite benign.
Sergio Gámez Martínez - Banco Santander: Thank you. Next question, please.
Operator: Thank you. The next question comes from Ignacio Ulargui from Deutsche Bank. The floor is yours, sir.
Ignacio Ulargui - Deutsche Bank AG (Spain): Hi. Good morning, everyone. Just have two questions. One on the restructuring charges that we could expect for Popular whether this, you can confirm that you have done already most of them or we should expect any additional charges into fourth quarter. And the second one is just regarding consumer finance unit. What do we expect in terms of cost going forward after the restructuring charges you have done in Germany? Thanks.
José Antonio Álvarez Álvarez - Banco Santander SA: Well, in Popular, we don't expect any restructuring charge, any further restructure charge this year. I mentioned to you that we're going to have round number €300 million net of taxes per year. 2017, 2018 and 2019 is our expectation. If we change, we will tell you. And other charges in the fourth quarter, the only thing that every year eventually may come in the fourth quarter is the assessment that we do of all the goodwill that we have in the subsidiaries that we perform this analysis in November. And if some comes, it go to the four quarters. It's the only thing that – but I do not expect any additional restructuring charge in the fourth quarter, that is your question. Germany, well, there's a reduction in costs here. Let's say, the payback we are estimating here, is slightly below two years. This will give you an indication of the reduction in cost that we expect there.
Sergio Gámez Martínez - Banco Santander: Thanks, Ignacio. Next question.
Operator: Thank you. The next question comes from Carlos Peixoto from Caixabank BPI. Please go ahead.
Carlos Peixoto - Banco Português de Investimento SA: Hello. Good morning. I was wondering if you could give us some further indications to begin with if you reiterate the impacts on IFRS 9 for the bank. Particularly in here with the impact on IFRS 9, I'm referring both to the impact that it will have on capital, for both capital and also on the provisioning side. And also on the U.S., if you could give us your views on your expectations for the evolution of NII into 2018 and also for cost of risk? Thank you.
José Antonio Álvarez Álvarez - Banco Santander SA: Well, his question related with the run rate IFRS 9. IFRS 9, the original impact I told you, probably told you in the previous quarter, that for the group before Popular was in the region of 15 basis points. With Popular, probably we go to the region of 20 basis points is the one-off impact at the beginning of 2018. Afterwards, you asked us the impact afterwards. Well, this naturally, as you know, IFRS 9 relies on models. Depends on the macro outlook, that may change and add some volatility quarter on quarter. What kind of volatility? If this is more of downward, depends on the models and mainly on the macro outlook for the different business countries in which we operate. Sorry I cannot be more specific than that. This is basically the rule, and we will apply the rule. The other question was about U.S. NII and cost of risk. Those are closely related. In NII, I am gladly optimistic in the bank. And as we (00:55:21) we expect to grow both volumes. We are making significant progress in repricing deposits and loans, and I do expect this year to – we've been building capabilities in the corporate side, in the commercial – in what they call C&I and GCB, and I expect those capabilities to start to help to grow faster the NII. This is the bank. In relation with SCUSA, things are a little bit more complex as we have a business that is shifting from more subprime to more new prime and prime, due to the Chrysler deal. And probably what we are seeing, and probably you saw already in the last couple of quarters, is the yield in the loan book is falling as a result of higher FICOs, and the cost of risk I expect to fall accordingly with the quality of the front book that we are underwriting. So probably you're going to see a decrease in the NII, a decrease in the cost of retail. Net-net, we expect to be positive.
Sergio Gámez Martínez - Banco Santander: Thank you, Carlos. Next question, please.
Operator: Thank you. The next question comes from Mario Capairo (00:56:38) from Fidentiis. Go ahead, please, sir.
Unknown Speaker: Hello, good morning. And my first question is related to the real estate unit in Spain. José Antonio was mentioning that you expect a material reduction in the stock of foreclosed assets by the end of next year. I was wondering if you can give some color on when you expect this unit to reach breakeven, also considering that you are expecting some profits on the deal with Blackstone. And then my second question is on the coverage, NPL coverage in Spain, which is 58%. Are you considering, given the high coverage, a potential deal to dispose a large chunk of NPLs? Or otherwise, do you think that this coverage is too conservative, considering the average for the industry of around 50%? Thank you.
José Antonio Álvarez Álvarez - Banco Santander SA: Okay, real estate unit. What I mentioned is the €5.9 billion net volume that we have in real estate related activities, I expect at the end of 2018 to be not material. This means that we expect to dispose this and to continue to manage this in a way that we reduce this to be nonmaterial and to reduce the cost on this side. This is our expectation. Naturally, as you know, we have a lot of exposure. Some of them are listed companies like Merlin. Some of these are already are independent, professionally managed by third parties in which we have a stake, let's test them after what they said that we continue to match, and we will see. I am fairly optimistic on, first, reducing the capital that we deploy there. Second, make some capital gains on the stakes going forward. Coverage in Spain, it's okay. I will say we are disposing basically our marks, taking into account the cost. We are making some gains there. But basically, those gains are enough to pay the costs. I remain – well, actually the coverage is the one, we think, that we should have, naturally.
Sergio Gámez Martínez - Banco Santander: Thanks, Mario. Next question.
Operator: Thank you. The next question comes from Britta Schmidt from Autonomous Research. The floor is yours.
Britta Schmidt - Autonomous Research LLP: Yeah, hi there. I've got two questions, please. Going back to the Spanish balance sheet, conceptually, loan volumes are still declining, the funding side (00:59:16) is stable, and Popular deposits have even increased, which means that you're carrying higher cash balances. How do you intend to manage that in the future? Maybe you can give us an idea of your ECB deposits and the ALCO management outlook? And then secondly, on the NPAs, what impact do you think the current political situation will have on the NPA disposal market? Is that going to be reflected in lower prices or less interest?
José Antonio Álvarez Álvarez - Banco Santander SA: Well, loan volume, you mentioned, the loan volume not growing and deposits growing. As a result, the cash balance increasing. That's the case, and there's some embedded cost that is in the Corporate Centre. Yeah, in the Corporate Centre, we are running significant amounts, large amounts of cash in our balance sheet, that costs us money at this point of time. In the future, well, in the future, it depends what you call future. Future, I expect the rates to start to normalize somehow in the future. In the meantime, we need to match properly both assets and liabilities. That means that in some cases, we need to reprice downwards some liabilities, particularly wholesale liabilities that we probably have are still going to reduce the cost of those liabilities. NPA, non-performing assets disposal, are up to what point the effect of the political situation going on in Spain may affect the disposal of those assets? Probably to close a deal in this stage is difficult, but I said before, if I didn't say it before, I think that the situation is going to settle rather sooner than later. And we're going to go to back to normal business, and we're going to continue to dispose. The market is in pretty good shape. The demand is there. And all the news this morning, we got the employment survey and the numbers were simply good in the third quarter. Yeah? So, the underlying economic situation before this crisis was extremely good, probably this affecting 20, 30 basis points, 40 basis points, but the growth continue to be good and the real estate continue to be in good situation to dispose us. And we've seen even this month in the middle of the crisis some companies going to market I think with pretty good demand.
Sergio Gámez Martínez - Banco Santander: Thank you, Britta. Next question?
Operator: Thank you. The next question comes from Stefan Nedialkov from Citigroup. Please go ahead, sir.
Stefan R. Nedialkov - Citigroup Global Markets Ltd.: Hi, guys. Good morning. Stefan from Citi. A couple of questions were asked already on margins. I just wanted to dig a little bit deeper. Mexico, Brazil, U.S. margins, it looks like the client component is either stable or improving, but in terms of the sort of non-client component with wholesale funding, also wholesale income from ARPU portfolios, very different trends. So just looking for example at Mexico, it looks like the net interest margin increased a lot more compared to what the client margin would have suggested. Can you just give us some color? Is that driven by a much better wholesale funding cost, or is it something else? In the U.S., similarly, you did mention that the yields in Santander Consumer should be trending down because of the lower risk in the portfolio, but it does look like the NIM actually fell a lot more compared to what the loan yields would have suggested. So that just makes me think wholesale funding costs for Santander Consumer are going up quite significantly. Again, if you can give us some color on that and what that means for the future? And lastly, in Brazil, client margin stable, ALCO gains seem to basically have driven pretty much the entire improvement in the margins. When would ALCO gains taper off? Are we talking once the SELIC (01:03:40) basically reaches constant level of around 7%? Are we talking later than that or sooner, next year, year after, et cetera? So, just any color on these three components for Mexico, U.S. and Brazil on the NIM side of things would be great.
José Antonio Álvarez Álvarez - Banco Santander SA: Starting with Mexico that you mentioned before, in Mexico, the main driver of the NII has been the liability side, yeah. So, we've been growing for years and still this year in double digit in demand deposits and when the rates went up, we were able to extract a significant increase in the NIM, in those deposits. Also in the four quarter last year, we were relatively aggressive in taking time deposits and we profit from those time deposits in this year. I don't see a particular role for the wholesale funding here in Mexico in the trends, in the NII. It's more the management of the liability side of the balance sheet what produced this outcome. In Brazil, second point was as I said to you going forward, until now has been – probably in the last explanation I didn't say anything about liabilities but our liabilities we match. The team in Brazil has been able to match liabilities in a much more effective way and the part of the balance sheet where the net interest income is growing the most and interest margin is in the liability side, also in Brazil. What happens in the liability side, we are growing the margins at 40% or 40 something percent while in the asset side, it's much less. Naturally, the weight of the asset side is much larger than on the liability side. Going forward, I remain optimistic in keeping relatively higher margins than in the past than – in Brazil than we had in the past but not to go up again, yeah. So, this is kind of one-off that becomes recurring but not – in the future, the growth will depends more on the volume of liabilities. That is growing very nicely. You look at the saving accounts are growing at 11% and time deposits are growing at 26% or something like that. They are growing in a strong way. So, I remain relatively optimistic about NIM, net interest margin in Brazil in the liability side to keep what we got. On the asset side, the NIM probably is fair to assume that we're going to have some margin compressioning, extremely high margin segments and we rely more on the volumes. So, overall, I think that we can keep growing but more in volumes than in the spread as we did in the past. In the U.S., you elaborate about SCUSA, U.S. In this case, the wholesale funding cost that you mentioned play a role, naturally. So, as a result of the increasing rates in the U.S., the wholesale funding, as you know, this business, the wholesale funding is important. It's not the case in Brazil and Mexico. In this case, it's important. And the higher rates play a role in the reduction of the net interest income probably I missed when I explained before. I was focused more on the yield and not in the margin. The margin – the wholesale funding costs went up clearly in SCUSA and this affect the NIM in this business. Going forward, well, at some point, I do not see a situation in which we are not able to pass these increasing rates to the front book. So I remain relatively optimistic that we're going to be able to pass the increasing rates to the front book but well, it stood at the beginning, the wholesale funding costs in past due faster than you are able to reprice the front book.
José Antonio Garcia Cantera - Banco Santander SA: If I may, (01:07:49) destroyed 1 million cars in the areas where we operate in the U.S. so the operating outlook in terms of pricing, it's better than what we would have estimated just a few months ago.
José Antonio Álvarez Álvarez - Banco Santander SA: Yes. In fact, the losses we are facing when we process cars are lower than the ones we were estimating before hurricane due to this but secondhand car prices went up slightly compared with our expectations and what was embedded in our assumptions, yeah.
Sergio Gámez Martínez - Banco Santander: Thank you, Stefan. Next one please.
Operator: Thank you. The next question comes from Rohith Chandra-Rajan from Barclays. Please go ahead, sir.
Rohith Chandra-Rajan - Barclays Capital Securities Ltd.: Hi. Good morning. I've got three fairly quick ones hopefully. The first one was just on Brazil. I mean, you've talked about the margin and the credit quality quite a lot. I just wanted to check on fees where you indicated the 20% growth unlikely to be sustained but fees were pretty much flat quarter-on-quarter. I was just wondering if there's any particular seasonality there that we should think about. So, that was the first one. Second one, on UK cost of risk. Again, you sort of explained the NPL ratio increases relating to a single corporate exposure. I guess you probably have a fairly good line of sight over the next couple of quarters and the UK economy looks in reasonable shape. So I was wondering if there's any reason to think that the cost of risk would rise from the low-single-digit basis points that you're currently still seeing in the UK, at least in the next few quarters. And then, the final question was just on Blackstone. You deconsolidated the assets. But as far as I understand, the deal has been agreed, but not yet completed. I just wonder if there's any risks there that we should be aware of in terms of the completion of that deal and the assets of staying off balance sheet? Thank you.
José Antonio Álvarez Álvarez - Banco Santander SA: The final question I don't see any reason not finish the deal with Blackstone. The first one, you elaborate about the fee income in Brazil, where we're growing at 20%. Naturally, we're going to keep growing our goods relating fees, but not at 20%. And those fees related with the volumes, for example, in mutual funds we are optimistic, in insurance we are optimistic, not that much – I see lower growth in those fees related with, let's say, inflation. Inflation went down from 9% to 2% in Brazil and probably going forward, what makes sense is those fees related with more services. Probably going to grow less than they have been doing in the last two or three years. In UK cost of risk, for the next couple of quarters, well, we are not seeing – every year, we -because of risk so low currently in the UK normally, we always budget higher cost of risk because it currently is very low. But do we have reasons to think in a significant different scenario than the one we have today? Not in our book. Our book, as you know, is mainly mortgages, high quality mortgages, similarly lower NPLs with some consumer exposure but they're limited in the conservative side, in particular in auto loans. And the exposure to companies where probably is more difficult to forecast, to have a case like in one we had this quarter. Probably this is much more difficult to forecast. Maybe if something happens maybe comes from this side. In other sides, I don't see any new development.
Sergio Gámez Martínez - Banco Santander: Thank you, Rohith. Next one, please.
Operator: Thank you. The next question comes from Marta Sanchez Romero from Bank of America Merrill Lynch. Please go ahead.
Marta Sanchez Romero - Bank of America Merrill Lynch: Hello. Good morning. I've got two questions. The first one is on the SCUSA. You have almost €3 billion of goodwill. Is there a risk of impairment in Q4? And an impairment would be capital neutral, of course, but with the fact that the headline payout ratio of 30% to 40%, does the supervisor look at you on this basis or you think it's irrelevant given that the impairment has no impact on capital? The second question is on Santander Consumer Europe. We've seen some negative headlines over the past couple of weeks from auto lenders and producers in Germany. I'm trying to understand the potential risk at Santander Consumer. How big is your leasing portfolio? How big is the portfolio where you assume the residual value of the cars? Thank you.
José Antonio Álvarez Álvarez - Banco Santander SA: Well. SCUSA, €3 billion goodwill, we review. As I said before, I think that we review the goodwill of our every subsidiary in the fourth quarter in November. If something arise, we charge at the end of the year as we've been doing for years. So, you mentioned specifically to SCUSA. I am not in a position to tell you if SCUSA or if any other subsidiaries may have a goodwill charge. That may be the case, may not. The payout, well, it's true that we are now in an exercise in which we are generating capital and we deploy this capital in three parts, one third each one. One-third goes to dividends, one-third go to grow the business, one-third to build capital for the existing business. Naturally, I expect to be above 11% at the end of 2018. And beyond that, we gain flexibility on capital, yeah. Flexibility means that we can grow faster the business or who can pay more dividends but it's too early to call at this stage. And leasing in Europe, we don't have residual values in Europe, yeah, in the car finance business. We do have in the States, in SCUSA, where the portfolio of leasing is, I think, speaking by memory, $8 billion or something like that. While in Europe, we don't have residuals values in the car business.
Sergio Gámez Martínez - Banco Santander: Thanks, Marta. And last question now.
Operator: Thank you very much. The last question comes from Andrea Unzueta from Credit Suisse. Please go ahead.
Andrea Unzueta - Credit Suisse Securities (Europe) Ltd.: Hi. Good morning. Most of my questions have been answered, but I just wanted you to go over your volume expectations in Spain again. You mentioned that SMEs have grown by €1 billion for Santander stand-alone but the loan book is still declining, so I was wondering when you expect stabilization. And also, if you couldn't reiterate the underlying tax rate in Brazil, please.
José Antonio Álvarez Álvarez - Banco Santander SA: Well, volumes in Spain – well, let me to split the loan book in two parts. One part that is a non-institutional, non-GCB business, that is already growing and I'm more optimistic on this. Probably, we are heading into some growth (01:15:16) from the beginning of the year €1 billion, €1.5 billion in this part of the balance sheet. While in the institutional lending and GCB, and it's for different reasons, in institutional lending because there's a substitution by the government of our positions, as you know, and this keep going down. And GCB because we are – I said in the presentation, we want to have a lighter capital business model. Well, in this sense, we don't have as a target to grow this book. Probably, this part of the book continues to go down, at best flat, probably down, at best flat. And on the other part of business, I am more optimistic to start to show some growth. The other question was tax rate in Brazil. In Brazil, since we bought Banco Real, we had a large chunk of goodwill that was tax deductible in Brazil and this came to an end, I don't know if in March this year or when, in March this year and that's the reason why our tax rate is going up in Brazil. Naturally, this is Brazilian GAAP and we are looking here at the numbers under IFRS. To see the tax rate, how this evolve, you should look at the Brazilian GAAP numbers in which you see clearly this effect.
Sergio Gámez Martínez - Banco Santander: Okay. We need to leave it here. Thanks, everyone, for joining this call, and obviously, the IR team is at your disposal for any follow up. Thank you.
José Antonio Álvarez Álvarez - Banco Santander SA: Thank you.